Operator: Thank you for standing by, and welcome to today's program, the Enovix Corporation Second Quarter 2023 Earnings Call. After the presentation, there will be a Q&A session featuring Enovix management. With that, I'd like to turn it over to your host for today's program, Charlie Anderson, Senior Vice President of Investor Relations and Corporate Strategy. Please go ahead, sir.
Charlie Anderson: Thank you. Hello, everyone, and welcome to Enovix Corporation's second quarter 2023 financial results conference call. With us today are President and Chief Executive Officer, Dr. Raj Talluri; Chief Financial Officer, Farhan Ahmad; Chief Operating Officer, Ajay Marathe; and Chief Commercial Officer, Ralph Schmitt. Raj and Farhan will review the operating and financial highlights and then we will take questions. After the Q&A session, we'll conclude our call. Before we continue, let me kindly remind you that we released our second quarter 2023 shareholder letter after the market closed today. It's available on our website at ir.enovix.com. A replay of this call will be available later today on the Investor Relations page of our website. Please note that the shareholder letter, press release, and this conference call all contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are based on our current expectations and may differ materially from actual future events or results due to a variety of factors. For discussion of factors that could affect our future financial results and business, please refer to the disclosure in today's shareholder letter and our filings with the Securities and Exchange Commission. All our statements are made as of today, July 26, 2023, based on information currently available to us. We can give no assurance that these statements will prove to be correct, and we do not intend and undertake no duty to update these statements except as required by law. During this call, we will also discuss non-GAAP financial measures, which are not prepared in accordance with Generally Accepted Accounting Principles. You can find a reconciliation of the GAAP financial measures to non-GAAP financial measures in our shareholder letter, which is posted on the Investor Relations page of our website. I will now turn the call over to Raj to begin. Raj?
Raj Talluri: Thank you. Thank you, Charlie, and thank you, everyone, for joining us today. I'm going to kick off with a few high level remarks, and then I'm going to introduce our new CFO, Farhan Ahmad, who will make a few comments. After that, we have a very special treat for you all today. Our COO, Ajay Marathe, is in Asia today at our Gen2 equipment vendors. And we are hoping to get him to show you a video of our latest machines and how they're progressing before our factory acceptance test next month. After that, I'll make some closing remarks and then we'll take your questions. Now, first, we had a very proactive second quarter that included some very key milestones along our journey to scale. First, we produced 22,502 batteries in Fab-1. This is exceeding the forecast we made last quarter that we are going to make 18,000 sales this year, so we exceeded that. Secondly, we delivered on the commitment to secure the $70 million non-dilutive financing funding for the in Malaysia. As a result of that, we are going to lower our CapEx guidance for the year. I'll say a little bit more about that in a little bit. Thirdly, I'm super excited that we actually received a purchase order for our BrakeFlow-enabled cells for the U.S. Army. Now, this is a great testament to the quality of our product, the reliability of the product, and it's a critical step for us towards our mass production and high volume production. Four, I visited several customers in Asia in the last month. I am super excited and really happy to report that we now have secured engagements with some key smartphone manufacturers, Vivo, Xiaomi, Lenovo being three of them. Now, Xiaomi and Vivo are the top five global OEMs. Lenovo is a Motorola's brand and number three in the U.S. And third -- and the lastly, I do want to bring out that we have built out our leadership team some more with a group of individuals that I've worked closely in the past at Micron and Qualcomm, and I'm super excited to introduce them to you. On the last note -- on that last note, I'd like to let everyone know that Ralph Schmitt sitting stage here with me has chosen to retire and he'll be leaving the company effective August 11. Now, after a recent career as CEO of multiple tech companies, Ralph did Enovix a great favor in revisiting his roots in sales and setting up the commercialization engine at Enovix over the last two years. I want to thank Ralph for all his support at Enovix. In order to continue his work, we have recruited some world-class talent to commercialize to the commercial and product -- our product organization. This includes Vice President of Product Management, Samira Naraghi; and Vice President of Sales, Dave Cech; who recently joined us from Qualcomm where we used to work together. With that, I'm going to let Ralph say a few words. Ralph?
Ralph Schmitt: Thank you, Raj. I want to thank you Raj and TJ and the Board for having me as part of the leadership team for such an amazing company. I have been lucky enough to work with TJ for over 15 years and been involved in ramping businesses with him, including Cypress and SunPower and a few others. But Enovix has been the most exciting business opportunity that I've had in my career, and frankly, I've run some pretty interesting tech companies, but I believe there's just amazing opportunity here. The team that I have put together has positively, I think impacted the long-term prospects of the company, but I've never been involved in a business situation where there's an insatiable demand for product that has a clear market leadership, and we're engaged with every market leader in the consumer world. So for me, it's a difficult decision to leave, but sometimes kind of life throws things your way and I sort of need to stop and prioritize my health at this point. The go-to-market stewards that Raj mentioned Dave and Samira are very experienced and talented. I've known Dave for 20 years as business acumen and customer engagements are second to none, and it was an absolute honor to work closely with Raj, Ajay and the entire executive team to progress Enovix to the next stage, essentially the second phase of the company after the technology base was established by the founders. Our companies have -- our customers have validated the technology as sound and have audited actually our business, and that it's scaling properly basically due the actions of the entire team. So it's been an honor to be a part of it, and I'll continue to cheer from the sidelines. So, thanks, Raj.
Raj Talluri: Thank you, Ralph. For my remarks today, I'd like to spend a little bit of time actually talking about the Enovix value proposition as it relates to the mega trends we are witnessing in the market today. Now, if it wasn't clear already News & Events in the last few months have kind of driven home the point that there's a ton of investment being made and directed towards the AI artificial intelligence, AI. We've learned -- also learned in the past couple of months, there are many, many revolutionary computing platforms that enabled by high performance cameras, high performance memories, image processors, sensors, displays that marry, all this together along with AI. But it's also kind of revealed -- it also kind of revealed a dirty little secret in our industry. None of these new devices that are being launched will really deliver on the promise to the end consumer till they have a much better battery. And I want to substantiate that today with a little bit more data on the kind of performance in battery that AI needs. And this is literally why I joined Enovix. Now, first, let's talk about AI a little bit deeper. For those of you who don't know I did my Ph.D. in Computer Vision and AI and I've spent quite some time in that area. I asked my team here to test what the power budget that's needed if you actually run a true generative AI application on a battery operated device either smartphone or a laptop versus running it on the cloud, because a lot of people want to run these device, these applications on their device natively because cloud costs a lot of money and there's latency issues and so on. Now, we ran stable diffusion, which is a very popular text to image generating program. And we found that in 68 minutes when we ran this program to produce images, the life top on the laptop died. Now, if you just ran it on the cloud, you could go for 11 hours, but it costs a lot of money to run it on the cloud. You need a subscription. There's privacy issues. The resolution is not high as you want. You already paid for this expensive laptop, you'd like to use it, but the problem is you can't use the hardware very well because the battery goes down. So AI and Edge is where the industry is going, but the AI and Edge will not happen like how we all want it till there's breakthrough in the battery technology. We tried another application, a popular application in for photography and for image processing is Adobe Lightroom. Adobe always had a great noise filter where you take a picture in a low light, which happens a lot of times when you're shooting and then you try to filter the noise out. They had a standard noise filter. And a few months ago, Adobe released an AI-powered noise filter. I was actually amazed by how much better the AI-powered noise filter was in terms of clearing up the noise. But when we ran the AI noise filter and we measured the battery draw, that filter needed 30 times more battery. It's actually pretty compelling why the world needs a much better battery to be able to realize these great AI innovations that are coming. I've written a blog on this and you can look at it enovix.com/ai and I really encourage all of you to check it out so that you can see this data. Now, let's talk about mixed reality another application that's becoming very popular. We had some great mixed reality products announced and soon to be in the market. Now I go into much more details on this another blog that's also at enovix.com. I'd like you to -- I'd like to encourage you to read it. But at very high level, we've now seen tremendous advances in processes, tremendous advances in memory, displays, sensors, camera technologies that are enabling used cases we've always ramped up. I mean, having a true mixed reality devices is really amazing, but unfortunately the battery has not kept in pace. Now, this point as actually was farther solidified to me recently when I was in Asia and I was visiting all these customers and I visited some of the customers and I talked to them about Enovix battery and asked that is there a way we can actually start working with them on this? And the interest level I saw from them for advanced battery was amazing to see because they also know that AI moves to the Edge into phones, into laptops into wearable devices. You just need a better battery because the next generation used cases, it's very hard to support them with the current used cases. Now, I also visited a lot of investors in the last many months, and one of the questions I get many times is Enovix business model assumes that we will get a premium for our battery technology when we provide this increased energy density to our customers. The question I asked is, how -- why do you think you'll get that? Actually, I'm even more convinced now with all these new devices that come out that are actually not delivering on their performance because the battery that when we deliver this battery and battery is no longer the barrier for the performance, the supplier who makes the breakthrough in this is the one who will have the right to command the premium price with strong margins. And I truly believe that Enovix has an opportunity. Now, this is not that different from what I've seen in my past life. Over my 30-year career in semiconductors, I watched the price of processors that we sell into phones go from $15 to $65, and they did that because they delivered a better user experience to the end user. Phones built-in cameras, phones could do video, phones could do GPS, phones could play audio. And the processor got more and more value as it provided more end user experience. I experienced the same thing with displays and cameras and memories. At Enovix, similarly, as we increase our value in energy density in cycles, in charge rate, safety, among other things, our customers will be able to take that technology and deliver much more compelling products into the market, which the end users will pay a premium for the performance, which is the premium we believe we will be able to realize. Much like I've done throughout my career, I spent a lot of time with customers understanding what their needs are, understanding what the key parameters are, and simply put, when they win, we win and we provide a better battery, they can make a better product and we get the premium and they make themselves better. As I mentioned before, I was super excited by the fact that we are now able to start programs with leading phone OEMs while continuing to advance our design-ins in wearables and in IoT and in computers. This collaboration we're establishing with the customers will actually help us understand all the different ways we need to architect the battery to really deliver the great value. With that, I'd like to introduce our new CFO, Farhan Ahmad. Farhan, would you like to say a few things?
Farhan Ahmad: Thanks, Raj. I'm thrilled to be here at Enovix. And I would like to thank the entire Enovix team for the warm welcome that I've received so far. I was really attracted to Enovix by its highly differentiated technology that delivers leading energy density across the industry, and a team that has a strong track record of operational excellence. The addressable market opportunity here is large; breakthrough innovation with silicon mindset can help deliver increasingly differentiated products. And like, Raj said, I also strongly believe that we can command a premium price and deliver strong margins. I'm looking forward to connecting with the investors and sharing the Enovix story with all of you. And I think it is highly compelling. Raj will touch on the guidance, but at a high level, I aim for Enovix to be a careful steward of shareholder cash and to make the investments to grow this into a great business that delivers strong growth and attractive margin profile. With that, I'll turn it back to Raj.
Raj Talluri: Thank you, Farhan. It's great to work with you again. As I mentioned earlier today, Ajay is going to join us from Asia. He give us -- Ajay is going to join us from Asia. He's going to give us an update on our Gen2 Autoline as it is getting ready for factory accept and testing. We're actually going to stream this live from Asia and we'll see how that works. But Ajay?
Ajay Marathe: Thank you, Raj. I hope you guys can hear me okay. It's exciting time here. I'm sitting here at one of our suppliers. As you can see in the background, there's a lot of equipment. You're wondering, what is this equipment? What is it doing? Why am I excited? Six in the morning, I'm talking with a lot of energy, but there's a reason for it. Gen2 equipment, which we have been working on, as you have heard, you have reported, we have made a lot of progress on the Gen2 equipment. I want to show you personally what progress we have made here on the line so you can see it for yourself and hopefully can get the same confidence that I have now built in terms of where we're right now. Okay. So let's first go three or four important steps in what I'm going to show you right now in the battery making, right? So one of the first steps is laser patterning, but that's done in other equipment. Here what we have is equipment, which takes the laser pattern rolls, puts them on these what I call the stacker, we have seven stacker here on the line, five of them stacking mid-stack electrodes and two of them doing the end stacker, so all of these are in a debug mode right now as we speak. And we'll show you the next important step. So you can see this machine is becoming more and more real. And soon will be in the debug mode. You can see in between here as well as some of the overhead stuff, the transportation and access from machine to machine, these machines or this equipment; this line is made for very high UPH, 13, 50 UPH in the size and has very little labor content in it. Roughly 25 people per shift running and making 9 million batteries in a year. That's the kind of rated speed that we are working on. Each of these machines is built with a inline metrology very low human touch making sure what we produce is at a very high yield. The next equipment I wanted to show you here, I think a glimpse of it. It's in the debug mode and cycling as you can see, the parts are moving. This is really the AO Print, very important step in attaching aluminum oxide film on the side of the cells, which basically insulates the cathode anode. The next step is to measure the cathode to anode offset making sure that's within the tolerance of the -- of what we need. Then this equipment right here is what is called the AO or the constraint attach. So you can see now we're going to open it again it's cycling. You can see it's in the debug mode. And again, all built with linear motors, granite block, inline metrology, very low human touch, and very high UPH and you can see the -- this is the inline baking of or curing. The next step I want to show you is the constraint attach process. As you know, the constraints in our battery are the most important pieces of material basically that we get from a supplier, which are -- which has a glue film attached to it. And then this card, this card right here, rolls docks into this machine, and now you can see what's going on inside this machine. This is a constraint attach, attaches on one side, goes to the other side, attaches the second, very highly accurate, very highly precise placement, and again inline metrology. So this is the constraint attach tool. And the last one I want to show you again, which is again, very exciting for us. Here, we can see the -- again the cycling going on from the other side of the machine, but the Busbar Insert tool, which has been in Gen1 has been a problem. We're learning from the Gen1 issues that we have had, why we weren't able to do much higher speed. This basically takes care of that. This is a Busbar Insert tool, which basically inserts the Busbar at a very high speed, clips it and completes the cell. So this -- again, this -- all this equipment will show you in a panoramic view now, it's ready for -- it's completely in a debug mode and ready for what is called a factory acceptance test. Factory acceptance test is the most important step in the equipment procurement equipment process. And after this, it goes and ships to Malaysia where we have announced today the -- our site at in the Penang Science Park. So that's the glimpse. This gives me the confidence that the equipment is real. It's working for people who wanted to actually get, this was a good idea for me to just come here since I'm spending the time here anyhow to do this live and show you what's going on with Gen2 equipment. Okay. So over to you, Raj.
Raj Talluri: Thank you, Ajay. I hope that was useful for all of you. And you shared the excitement that we all have and you can see the excitement in Ajay's face and the team's face there. We've been working super hard to actually build these machines and the last time that I went up there a month ago, I gave a small glimpse of it, but now you can see they're real. We're building them up and factory acceptance is on track. So we are super excited by that and looking forward to giving you more updates as we continue to make our journey to scale. Now, I want to talk about our outlook. For the third quarter 2023, we are forecasting that we will produce approximately 36,000 units from our Fab-1. Our plan for the rest of the year is to make as many small cells as needed to support the commercial launches of the customers, and also qualifications of the customers that have designed in our products from Fab-1. But we also want to focus on higher value projects and higher value opportunities that we've recently come across that have come to us from building larger cells and with BrakeFlow, a technology that's very, very important and provide safe batteries to U.S. Army and the other customers. Now, we noted that the total size of the U.S. Army order for pre-production cell, these are pre-production cells that they're going to put into early prototypes of their vast is nearly $600,000 for this year predominantly in Q4. But this is just a first step in what we hope will be a very significant business in the multiple tens of millions of dollars in the years to come. And that's why we are super excited by this opportunity. And we are working on making these things happen in our Fab-1. Now, let's talk about our cash used. For the full-year of 2023, we are now going to lower our full year cash used guidance from the $240 million to $190 million. This is mainly because of lowering our CapEx forecast from $120 million to $70 million due to the Malaysia transaction and YBS and this some more benefit of the Malaysia trans -- of the YBS transaction we'll realize next year. We’ve entered into a manufacturing agreement with YBS and they're our assembly subcontractor. At a high level, YBS is financing $70 million towards the first Gen2 Autoline the one that Ajay just talked about. And they're -- with funding; they're obtaining from the OCBC Bank. Now, in closing, we are preparing for our high volume products in Malaysia as the facilitation of Fab-2 is underway. We hired a lot of strong team in Malaysia, and that team members have come here to Fab-1 and undergone our training on the equipment in Fremont. Now, we are really looking forward to updating on the progress over the rest of the year. With that, let me open up for any questions. Operator?
Operator: We'll now begin the Q&A session. Please note that this call is being recorded. Before we go to live questions, we're going to read the two most highly voted questions submitted by shareholders ahead of this call during the call registration. The first question is, out of the 180,000 batteries being produced this year, what percentage is for testing and what percentage is made for end use?
Raj Talluri: Yes, absolutely. When we -- as I mentioned, we are guiding to another 36,000 batteries in the next quarter. When we make these batteries is these go into our customers for basically testing into new products that will come out next year. Some of them are used by our customers for products we expect to launch later part of the year. And for those products that actually go to the later part of the year, we need to build some inventory to make sure that the customers are comfortable when they go to production, that we have enough supply. It's really hard for us to say what percentage is actually for the customers going to production, and what percentage is for testing. Honestly, we've had so much opportunities now coming our way, particularly with the new large sales opportunities that we are focusing some of our resources also on making sure that we can support that for the U.S. Army.
Operator: The second question is what needs to happen for a qualifying customer to announce that they'll be locking a contract to use Enovix batteries?
Raj Talluri: Yes. Actually Ralph, do you want to take that? I know you're pretty close to that.
Ralph Schmitt: Thanks, Raj. Yes. So I think Raj described very well how -- right now we're going to market with customers where they're building some products early. And we're expecting some releases of lower volume products in the second half of this year based on the amount of products, the amount of cells that we can produce. Most customers I should say, some customers will allow us to announce them using our batteries and some will not. So it's unclear exactly how many and what timeframe. But they will not do that until they have these products available either publicly or available for sale. And so that should be coming later this year.
Operator: We'll now go to the queue. Questions will be answered in the order they're received. Please ask one question and one follow-up question at most. We'll now pause a moment to assemble the queue. Our first question comes from Derek Soderberg from Cantor.
Derek Soderberg: Yes. Hey guys, thanks for taking my questions and Farhan congrats on the new role. Ajay, I wanted to start with you. I'm curious how many proof of concepts do you have left to complete? And then can you talk about some of the unique challenges that are associated with factory acceptance testing compared to the proof of concepts? Like what's sort of the risk that parts of the equipment that passed the proof of concepts do not meet the requirements under the factory acceptance testing? Can you help us understand some of that?
Ajay Marathe: Sure, absolutely. So we have actually run more than 40 plus proofs of concepts on call it 13, 14 different pieces of equipment. All -- most of them ran pretty good after one, two learning cycles. Some of them do come back actually in the design and then get redesigned like there were a couple of examples, which I looked at yesterday, which were in the redesign mode, which are completed. To do proofs of concepts, I would say under 10 are required actually further before the factory acceptance test is complete. And so, yes, that's where we are right now. Most of the important ones are completed and actually ran through the expectations. One or two came back and we had to redo the design.
Derek Soderberg: Got it. Got it. And as my follow-up, Ralph, sad to see you go and best wishes to you but wanted to ask a bit more about some of the AI applications using 30% to 50% times the battery capacity with some of these applications. It seems like potentially you might need five, six, seven or more large battery cells. Is that the case for some of these applications and some of the inbound requests that you're getting? And are some of these customers and laptops saying that you guys are the only ones who can potentially enable some of these applications? Just as you've said with some of the AR/VR stuff is that the case? Thanks.
Raj Talluri: Yes, I can take that. So points I wanted to make were number one, I think customers now realizing that the applications that are coming in that people want are so compelling that the current battery technology is not able to keep up. I'll give you an example. If you do the noise filter like using some Lightroom and you use AI noise filter, it's almost impossible to go back to using the traditional noise filter. I mean, you just -- there's no going back because you kind of see what's possible. And by the way, Lightroom also runs on smartphones. So you will see the same problem that when you start using it, you get used to it, there's no going back. So what this is doing is, this is actually very early stages. I mean, it's probably the first time that I've actually anybody has put data out there that I know of what, how much the battery is consumed when you run an AI application. So I think our customers also realizing that, I think it's going to be -- it's going to happen in one of two ways. A) That they're going to buy more batteries, like as you mentioned, but the problem with more batteries is the form factor gets destroyed. It becomes bigger, heavier, fatter, and so they don't want to do that. So that's when we have an advantage that we can either provide increased energy density and keep the same form factor, but provide more energy or help them reduce the form factor and provide them same energy. So it's happening in one of two different ways, but it's hard to say exactly how many more batteries would be needed, but I can definitely say that it's going to be a lot more than what we expected just because of the applications that are coming down.
Operator: The next question comes from Colin Rusch from Oppenheimer.
Colin Rusch: Thanks so much, guys. Can you speak to the strategy around rolling out the standard cell the depth of customer interest and how that potentially impacts revenue ramp as some of your customers look at that standard cell gain out into the market?
Raj Talluri: Go ahead.
Ralph Schmitt: Yes. So we -- we're trying to replicate what we see in some of the other battery segments in the marketplace today, and that is in the pouch cell, it's very unusual to see a standard cell, but we've had enough customer interest across many different IoT applications that we see that as a viable way to go-to-market. Typically, what you see when you do a general availability like that, it's usually smaller customers that can't afford or be able to drive a custom cell size. So we're seeing quite a bit of uptake on this standard cell that we're putting out there. And you will see others in the future that will be of different sizes, et cetera.
Colin Rusch: Okay. And then on the --
Raj Talluri: Yes, maybe --
Colin Rusch: Go ahead.
Raj Talluri: I'm just going to add a little bit more color. It's very similar to what I've seen when I was at Qualcomm, when we ran the IoT business from a vertical business, when I go in -- when you go into something called horizontal business where you don't really know the customer they buy through a distributor, they buy a small number of units. What happens is they're a lot more willing to adjust the form factor to accommodate the standard cell we have whereas the very high volume application like a smartphone or like a watch, people would want to put the perfect size battery to eke out the maximum amount of energy they can get out that, but unless you have a large volume, people are not going to willing to make a custom cell for them. So what we did with general availability announcement is to support all those other smaller volume per socket opportunity, but still give them this higher energy cell. That's kind of what the strategy was. And I think it's a popular strategy in semiconductors and people make DSPs or processors and so on. I hadn't been done as much in batteries, but I really will felt that we have a great product and we should try to get more people to use that. And one thing I found is those customers may actually end up moving from there to a high volume opportunity as their products do well, and they may come back to us and ask for more custom cell.
Colin Rusch: Okay. Thanks so much. And then guys on the material supply chain, we're seeing some dislocation, whether it's on the capital side or even now with oil and gas and some of the silicon side. Can you talk a little bit about how your customers are engaging with those supply chains and some of those material procurements and preparing for what looks like a potentially steep ramp as you get through 2024 into 2025?
Raj Talluri: You're talking about battery materials? Are you talking about --
Colin Rusch: Yes, exactly. Both anode and cathode materials.
Raj Talluri: Yes. I was -- actually, I've been fortunate to spend a lot of time with a lot of battery material suppliers in the last month or two. And what I've found is that there's a lot of innovation going on and the number of people who are now coming out and saying, we got a better silicon anode or we got a better cathode. And for us it's super exciting. I mean, there's a lot of announcement coming up with the company in Australia I saw recently, a company in England recently. So the supply chains of the material production in both anodes and cathodes is diversifying a little bit more and a lot more innovation going on there. Of course, quite a bit because of the huge EV opportunity that a lot of people see, but for us, it's tremendous because we are able to take advantage of all their investment that's going in into those spaces and use those anodes and cathodes, which are best suited for us in our battery architecture and take advantage of that and provide much higher energy density, much better cycle life, much better fast charge capability. So I think it's really exciting time for us and the diversity of the supply chain is also helping us because we are not able to work with multiple suppliers and that helps us in our cost of goods too.
Colin Rusch: Okay. I've got a couple follow-up questions, but I'll take them offline. Thanks, guys.
Raj Talluri: Thank you, Colin.
Operator: Our next question comes from Bill Peterson from JPMorgan.
Bill Peterson: Yes. Hi, good afternoon and nice to see things are on track with Fab-2. Farhan, welcome to the team and good luck in the role and Ralph, good luck in your retirement. My first question is I wanted to check in on the smartphone announcements. I'd like to get a better understanding by what you mean with the term engagements. I mean, do you have -- are these volume purchase agreements or is pricing set? I -- could these be for new form factors? And I guess should we think of these large batteries for smartphones as custom parts, are you looking to standardize these parts?
Raj Talluri: Yes, a lot of questions in that. Firstly, most smartphone products will be custom products in the sense that, every smartphone maker's battery is a specific size. Now close enough to the other ones, but specific. One of the key areas that we are seeing a lot of opportunity is actually in an area called foldable phones and flip phones. As you might recall, this has become a very popular category now particularly in China because it just provides a much larger display that you can use. And at the advantages you can run multiple applications at the same time. With 5G, you can have different windows open, running at the same time, different AI applications in different one. People love that. People love that form factor. Now that flip gives you a smaller device that you can put in your pocket without compromising on display. A fold gives you a regular size device, but with twice the display. So both the form factors are very popular. Then the problem though is that to support such a big display, you need one battery on each side. So flip typically needs one battery on the back and one battery in the front and folds in the middle. A fold needs two batteries one on each side. The advantage we have with the Enovix battery technology is at least what the customers were telling me when I met them was, hey, it's now possible to take one Enovix battery and replace two of those batteries. So now you can actually have a flip phone where the top is really thin for example. Now if fold -- if when you fold it, it's much smaller and much thinner, or you can have a foldable phone. The problem with a foldable phone today is that it's twice the thickness of a regular phone. You can now put one battery or two thinner batteries from Enovix that can actually make that foldable phone the same form factor as a regular phone. So that's one example of where customers are using. In terms of engagements typically the way this works is, we are working on what is the form factor? What timeframe will they launch? What size battery do they need? How do they charge it? How do they discharge it? Which process does it connects to? When do we need to give them samples? When we do to make the first demonstration? So it's kind of like an engagement that typically would happen with a processor, with a memory, which I'm very familiar with over the last many, many years. So super exciting and super exciting to see that they're all going on the same path of how I've gone before. And all these customers also make wearables so the same battery technology can also be used in the wearables, and some of them also make notebooks. So it's a -- it's kind of a broad brush strokes opportunity for us across all of them.
Bill Peterson: Great. Nice to see the interest there. Also you mentioned that about your -- I guess confidence to get premium prices, and you mentioned that there's a lot of investors asking about how your ability to achieve that. Another thing we also hear from investors is how to think about your cost structure vis-à-vis competitors in Asia. So I guess today, how should we think about the current Gen2 aligned with the current throughput, the current cost structure around $50 million as well as the current material set, how does that compare to high volume competitors today? And maybe more importantly, like what opportunities do you have in terms of driving down line costs, increasing throughput and material optimization in order to close the gap with your high volume competitors?
Raj Talluri: Yes, absolutely. So I answered this question a couple of times on investor calls. I'm happy to go through it again. Typically, the cost in a battery making is majority of the cost like 60% or even higher is material cost. And these are anodes, cathodes, electrolytes, separators and so on. Now currently our cost structure is clearly not where it should be, and it probably won't be where we want it to be even when we build like one line. So you have to get the scale build batteries in the tens of millions to really get those purchase agreements to the part where the material cost is very, very competitive. And we are finding that. Now as we start building our factory, Ajay and his team, he's got a terrific supply chain team, and he is hired some very strong supply chain and also material procurement people that are getting this cost down. And so in that sense, the comment I want to make is as we ramping the volume, the material costs will come down, and we are seeing a lot more competition, as I mentioned now in the whole material stack. So we are able to dual source or even multi-source in some of these to get the cost down. The other one is the cost of the machines itself. And Ajay and his team have done a lot of work in figuring out what aspects of the machinery we can further cost reduce. For example, when we talked about this first line, which is the line we are building, it's a universal line in the sense that it can make batteries from very small watch batteries to much bigger smartphone or laptop batteries. But as we are making progress in design wins with our customers, we will be able to optimize as lines so that the line cost comes down, but the variability of the battery side it needs to make may not have to go all the way from very small to very big. It could be a big battery, maybe 10% variation of that. So we can support all the smartphone cells, for example, on that line. And another line could run much higher throughput and support the watch cells. So we are in the middle of that of how to optimize the lines in terms of line cost and line throughput, and also in terms of how to get the material costs down. I'm very optimistic that long-term it's going to be very healthy gross margin business as we get scale and as we get lines more and more optimized to end products.
Bill Peterson: Yes. Thanks for sharing insights and best wishes to Farhan and Ralph.
Raj Talluri: Thank you, Bill.
Ralph Schmitt: Thank you.
Operator: Our next question comes from George Gianarikas from Canaccord.
George Gianarikas: Hey everyone thanks for taking my questions. First maybe to focus on anything new that hap -- that's happening with the EV opportunity you specifically mentioned in the release of fast charging based on the structure of the batteries you're building. So any update that would be appreciated. Thank you.
Raj Talluri: Yes. As I mentioned, we are making steady progress in that area. We now have -- we're able to further quantify as we fast charge what is the benefit of our architecture in terms of fast charging. And as I mentioned last time, we are working with a couple of EV OEMs in working with the material stacks that they would like and how we can put them in our architecture and get them some samples. It's moving and I don't have any new milestones to share today, but I'm optimistic that we'll be able to give more data before the end of the year.
George Gianarikas: Thanks. And maybe as a follow-up, just to focus on the capital structure, you lowered your capital needs for this year. Can you sort of remind us what 2024 looks like and what the requirements will be for you over the 12 to 24-month period? Thank you.
Raj Talluri: Okay. I'm going to get Farhan take the call in his first CFO.
Farhan Ahmad: So yes, we are not guiding to CapEx needs for next year, but what I can tell you is that we have a lot of things going on next year. We will be completing the Gen2 Autoline. We also have the agility line also coming in. So CapEx will be higher in this year but not guiding to CapEx. You have to wait till end of the year, and then we'll probably be able to share more.
Operator: Our next question comes from Alex Potter from Piper Sandler.
Alex Potter: Great. Thanks, guys. So maybe just a quick follow-up on that one. I know maybe you can't specify in terms of specific numbers here, but maybe qualitatively, I know that you're focused initially on the agility line and then getting the first lines up and running in Malaysia. But I'm wondering if you've begun sort of contemplating when you'll start building additional maybe dedicated high volume and customer specific lines in Malaysia, as well as how much those lines will cost that. And like I said, I know you don't have to maybe put a fine point on exactly a dollar number there, but are you at least having conversations with customers about when they can expect deliveries from custom lines like that? And in your mind, have you started thinking about what those will cost and when you'll start building those lines?
Raj Talluri: Yes. So I think we talked about this before. So mainly, we -- our customers are now in multiple form factors, right? I mean we have customers in smartphones. We have customers in laptops, we have customers in watches, and we have to optimize the line for each of those. Now again, we are now working at different models. Like when you talk about a line, the line has multiple zones. That's the other thing you got to remember, one of some of the zones are laser machines, which maybe we can optimize for multiple ones that some of the lines are more as Ajay mentioned, constraints stuff. Then there's zones that do buffering and things like that on the backend. So we are now trying to figure out the right optimization where we leave most amount of flexibility for us in terms of satisfying all three of these markets. But at the same time, we are financially also optimal in terms of not making just universal lines for all of that. I mean, we -- so I think that's where it's going. I wish I had a more precise answer for you, but I think you'll have -- we'll have better visibility as the year goes along. But rest assured, we are having all of those conversations you mentioned with our suppliers on which are the long lead term months, which when we get sooner, and which when we get later and so on.
Alex Potter: Okay. And then maybe just a follow-up to that, in terms of who will pay for these new lines and how those lines will be financed, I know that there's sort of multiple different options. You could get your customers to help pay for it. There might be price concessions associated with that or dilution associated with that, with how far along are you in those discussions regarding how funding will be arranged for these new lines beyond the initial several lines that you have already have planned?
Raj Talluri: Yes. So I mentioned when I first took go the job that there are three options for us in capital raise. The first one clearly was that we are going into Asian countries where people want us to be there, and there's the ability to get favorable funding options because those countries want us to put our factories there and bring the technology there and provide jobs. And as you can see from the announcement today, we were able to deliver on that. The second one I mentioned was that whenever opportunity arises and the capital markets help us and we will work on raising capital, and we've done that and we've capitalized the company with the convert earlier in the year. The third one I've mentioned is that the customers would like to fund some of our lines. And as I mentioned, that will come with some I guess things associated with margin price and so on. All three are open and honestly at this time, we don't have to make one of those decisions because we have capitalized the company and with the most recent arounds with YBS, we have some more runway. So Farhan here now and he is going to figure out the right optimal path to get the CapEx for the next stuff.
Farhan Ahmad: Okay. Sounds like a perfectly easy job. Thanks. Thanks very much and welcome. I'm looking forward to working with you.
Alex Potter: So nice. Thank you.
Operator: [Operator Instructions]. Our next question comes from Gabe Daoud from Cowen.
Gabe Daoud: Hey, thanks, everyone. Thanks for taking the time. I was hoping Raj; could you maybe give us an update on the MOU that was announced last November for smartwatch program? Is there any notable progress that you could comment on today?
Raj Talluri: Yes. I guess maybe Ralph can comment on that. I think he was involved in the MOU.
Ralph Schmitt: Yes. So it wasn't necessarily specifically for smartwatch, but using our technology in multiple platforms moving forward. And we have made progress there where the customers have been qualifying the product. And it's just an ongoing process for us. We should see some outcome of that either next year, most likely into 2024 or early 2025 from a volume production perspective. But it's progressing along sort of as we expected it to.
Raj Talluri: Yes. One comment I'll make Gabe is that clearly that MOU is one thing that we talked about, but after coming back from Asia recently, it's just a tremendous amount of interest in our technology and products from many, many customers with large volume opportunities. So we just have to get the qualifications done and build our factories to satisfy the demand that's coming up.
Gabe Daoud: Got it, got it. Great. That's helpful. That's helpful. Thanks, guys. And then just a quick follow-up, and I know this probably doesn't matter today, but if you ship 10,000 cells and 2Q generated $42,000 in revenue, it implies a little over $4 in an ASP versus you previously disclosed $5 for the small cells. I'm just curious, what's the -- maybe what's driving the delta there?
Raj Talluri: I mentioned before, cells are going into customers that actually will -- we are sampling sometimes we don't charge for samples because we'd like for them to use our products and test and validate and then move forward. Sometimes we charge a lot for samples. And so you can't just multiply the revenue number, take the revenue number, divide by the units and get an ASP. That's probably wouldn't give you an accurate answer. This is early stage production and this is really customer qualifications, and so that's not a good time -- that's not a good way to calculate ASPs, but I can tell you this much though.
Gabe Daoud: Okay.
Raj Talluri: We feel very good about our ASPs because the value we provide, and that's something I'm even more encouraged now than I would before.
Operator: Our next question comes from Ananda Baruah from Loop Capital Markets.
Ananda Baruah: Hey guys, yes, thanks for taking the questions. Appreciate it. And Farhan, welcome. Looking forward to working with you, Ralph, sorry to see you go. Really enjoyed working with you. Hey, Raj and Ajay, how are you? Yes. Just a couple, just real quickly, with regards to the Fab-2, Gen2, and getting it going between now and I guess, is it Raj, is it still April timeframe you're expecting to have initial production project -- product out? Is -- should we expect from you sort of you give the update us on certain milestones in between the earnings calls and what might those sorts of things be that we could expect from you? If there is anything and then I have a quick follow-up.
Raj Talluri: Yes. And we still, I -- absolutely, the date is still till mid-April to get samples from our gentle line in Malaysia that we can send to our customers. And the big next milestone is factory acceptance in next month. And Ajay feels confidence is out there and we hope to able to give you an update on that when that's done. Then we have milestones on when the agility line comes in, I think you'll see that. And then we'll have milestones and when equipment goes into our Malaysia facility now that we got the contract done. We have a site and we have people and all that. That would be really good to see. Yes, I think lots of exciting needs to report as the year goes by.
Ananda Baruah: All right. Awesome. That's helpful. And then just quick follow-up, how should we think about aspirations for EV MOUs as you move through the year? Is this year still -- is that still a goal that you have in mind? And do you need to -- I know I think this in conversation about actually getting an EV battery sample made also is that something that's necessary for EV MOUs to occur? Thanks.
Raj Talluri: Yes. I mean, that is absolutely the goal. I mean, honestly, I think the -- our challenge right now is the number of opportunities we have. This army opportunity that came up, the EV opportunity that is making good progress, and then we announced the general availability of the cells. We have customers qualifying those things. We have the Malaysia line coming up is just really a question of sequencing all those things in the right time fashion, so that it's most profitable for the company. That's absolutely the goal, but we kind of have to balance all the stuff we got going on now so.
Operator: Our next question comes from Sean Milligan from Janney. Star 6, will allow you to unmute, Sean.
Sean Milligan: Hey guys, thanks for taking my question. I guess first question is, how -- how can we think about a Fab-2 ramp in terms of once you get this first Gen2 Autoline in and running and start to see some production orders. How do -- how should we think about the ability to add additional lines at a pace like is it one per quarter, one every six months? What's a realistic pace for us to think about that come 2025, I guess 2026?
Raj Talluri: Yes. Look, I mean, we -- we -- if we wanted to we could buy, we could build four universal lines and build them as quickly as we can. But as I mentioned before, that's not a very good strategy because we want to optimize the line for the customer. And that's where we are spending all of the customer opportunity, so that we get the most amount of margin for each product. We are working feverishly on what are the long lead pole issues, so we can get working on those. We are working on how to optimize the line even more so that each net subsequent line cost lesser. So those are all things we are working through and I hope to be able to give you more color as a year goes by on how we plan to do that in 2024 and in 2025. So at this point, I don't have much more details than what I mentioned last time.
Sean Milligan: Okay. And then, with since the YBS announcement is out, the $100 million that covers the -- basically the facility plus the first line, can you talk about how many lines you think you can ultimately fit in that facility?
Raj Talluri: Yes. That facility itself has space for four lines. And we are facilitating -- we are making sure the facility can hold in terms of elasticity, dry room and all that kind of stuff up to four lines. And that is super exciting. So we got that worked out and we got the first line going in. Now we're just trying to figure out the sequencing of the next few lines as profitably as we can.
Operator: Our next question comes from Gus Richard from Northland Capital Markets. Gus to unmute, Star 6.
Gus Richard: Yes. Thanks for taking my question. Can you talk a little bit about where you are with commercial terms? You talked about YBS and have those been nailed down at this point?
Raj Talluri: Yes. We signed the manufacturing supply agreement. So I think it's nailed down, signed by us, signed by them, and that, that puts in all the terms there in terms of exactly what the uplift is and how it comes and so on. So the terms between us and YBS are signed.
Gus Richard: Okay. Appreciate that. And then I just want to make sure the agility lines still expected to be up and running in November of this year or by year-end and be able to produce samples for customers?
Raj Talluri: Yes. That's still on track. We believe by year-end we'll have that. Yes. So we are building on two lines really. We are building the agility line; we're also building the line one of the Gen2.
Gus Richard: Right, right. And line one of Gen2, the rated throughputs 9 million units per year.
Raj Talluri: 9 million of the bigger batteries are 18 million of the small batteries; nine point something, but roughly round numbers. Yes.
Ajay Marathe: This -- Raj, just to clarify the first line is a universal line, right? So we've given up a little bit on the UPH optimization. So this first universal line will build 9 million batteries of any kind.
Raj Talluri: That's correct. That's correct. Thank you for that. Thanks for the clarification, Ajay.
Gus Richard: Yes. Thanks for the clarification. That's it for me.
Raj Talluri: Thank you, Gus.
Operator: Next -- our next question comes from Chris Souther from B. Riley.
Chris Souther: Hey, thanks for taking my question here. Maybe on the production from Fab-1 came in ahead of the target in the second quarter targeting 36,000 in the third quarter. Are we still targeting 180,000 for the full-year or does the acceleration of some of the larger laptop phone batteries change that target? Just are there any specific things you'd call out we would need over the next few months to hit 180,000 if that's what we're still looking for? And is there any significant expectation from the agility line this year?
Raj Talluri: Yes, great question. We absolutely with the way the manufacturing is going on Ajay and his team have done a phenomenal job. We can make those 180,000 batteries as you know, if we -- if you wanted to at this point absolutely, that's the goal. But now that we have these opportunities for higher value from both these larger cells for the army and for laptops and other areas, and as the question was asked, what do we do about the EV stuff. We are getting a few other ones and we only have one fab here. The agility line is coming. So based on how quickly the agility line comes in and how to optimize the ones, the fab here we are going to update you on exactly what we want to do for the rest of the year. But it's a good mix problem we have that we have more opportunities to work on, and we have to make sure we want to build the right ones.
Chris Souther: Got it. Okay. Makes sense. And then on the customer side, I appreciate the color on some of the larger phone and laptop customer engagement. If we go back to the customer funnel plan for 2023 that you provided on the January 3 presentation. I just wanted to see how you think you're tracking as far as accounts moving towards some of those later stages kind of P1K P10K, any metrics you could provide breaking down the $737 million in active design and design wins by where we are in some of those milestones.
Raj Talluri: Yes. Ralph, you want to take that?
Ralph Schmitt: Yes. So we haven't really shown that that graph again, but you memorized some of the milestones very well. So yes, we are moving customers from what was called kind of QS 100, which is sort of very early sampling stages into that P1K, which is the production 1,000 units or more. And that's sort of the path till we get to real revenue and high volume, which again based on how many units we're getting out of the fab happens later this year and then into next year as well. So we've got as Raj has pointed out, we've got plenty of opportunities stacked in that pipeline. It's a matter of us getting the right mix of the right amount of product, which is why you're seeing us not ship all of our units that we put together as we build up a little bit of inventory for some of these customer product launches moving forward. But the funnel is progressing well and even the front end of the funnel, which honestly, because we have so much opportunity, we've spent less time on, we're getting a bunch of new customers coming in with new opportunities that keep increasing the funnel.
Chris Souther: I appreciate the details. Yes, congrats on your retirement year. Thanks guys.
Ralph Schmitt: Yes. Thank you.
Operator: Our next question comes from Tim Moore from EF Hutton. Star 6, will allow to unmute, Tim.
Tim Moore: Thanks. And the equipment line video walkthrough tonight was insightful. Yes. My main question is, you're clearly innovating and pushing the envelope on energy density and right weight batteries more than just the U.S. Army is going to appreciate that. Are you seeing more customers or prospects maybe appreciate the roughly 50% lift in more amp hours? I know that's a wide range for capacity, but whatever it is compared to their technology that they've previously been using. I'm just wondering if the awareness by customers for the amp hour lift from your offerings, or even marketing accelerating by you is starting to really shine through the last couple months and accelerate.
Raj Talluri: Yes. I mean, absolutely. The customers truly appreciate the fact that we are providing more energy density, and again this is really driven by the new applications that they see coming that need much more battery. I think that is just a classic of what's happening. I mean, I wrote in my blog, if you see for example, the new Apple mixed reality headset, you can see two-hour battery life. I mean, it'd be beautiful if we could get that to four hours or six hours, eight hours. So we are seeing that across the board. And also as AI moves from the Cloud into the Edge, you just need more and more because of the immediacy. So the energy density is totally appreciated. I think as our customer engagement is moving to the next level where we have joined programs with them, they're testing our batteries, they're putting them in the form factor, we are also gaining a lot more appreciation for the various how shall I say the different parameters over which you have to optimize the use of a battery, for example. We need to provide energy density. We also need to provide cycle life. We also need to provide the ability to charge really quickly. We also need to provide the ability to get into the heat fast charge and discharge at different voltages. So we are just moving to the next level of the customer engagement where we are really able to work closely with them on how the battery fits in the framework, how it interacts with the processor, how it interacts with the OS. It's just a fascinating to see. And we are able to roll that now back into our product roadmap. So our next-generation batteries, when they come out with the next-generation technology, they'll be even more optimized to all these different requirements in addition to providing higher energy density, which is really the transition of the technology.
Ralph Schmitt: Just add a little more --
Tim Moore: Thanks. That's really --
Ralph Schmitt: I think I was just going to say, we shouldn't lose sight of what was sort of announced in this -- in as far as this quarterly release goes with the -- with Raj's involvement in some of these mobile phone customers mostly out of China being much more aggressive and actually allowing us to talk about them as being customers and being involved. They're the ones seeing the absolute need for this uplift because to the points that Raj has been making all day is, they need to enable features and they just can't do it with the existing technology that exists out there. So they are pushing very hard and want to partner with us to make that a reality and mostly in mobile platforms today.
Raj Talluri: Yes. Thank you, Ralph. Thank you for that highlight.
Tim Moore: Yes. That's a terrific color. And I'll save my remaining questions for offline later today. Thanks.
Operator: There are no further questions at this time. With that, I'd like to turn it over to Dr. Raj Talluri for closing remarks.
Raj Talluri: Yes. Thank you everybody for listening to us, and thank you for all your questions. Really exciting times and great quarter. Looking forward to speaking with all of you again next quarter. Thank you.